Operator: Good morning, and welcome to the Core Laboratories Q4, 2017 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to David Demshur, Chairman, and Chief Executive Officer. Please go ahead.
David Demshur: Thanks, Brandon. I'd like to say good morning in North America, good afternoon in Europe and good evening in Asia Pacific. We'd like to welcome all of our shareholders, analysts and most importantly, our employees to Core Laboratories' Fourth Quarter 2017 Earnings Conference Call. This is our 90th quarterly earnings release. This morning, I am joined by Dick Bergmark, Core's Executive Vice President and CFO; Core's COO, Monty Davis, who will present the detailed operational review; Chris Hill, Core's Chief Accounting Officer; and Gwen Schreffler, Core's Head of IR. The call will be divided into five segments: Gwen will start by making remarks regarding forward-looking comments. Then we'll come back and review the announcements regarding personnel moves at Core and comment on the current macro environment, updating industry trends that should be beneficial to Core. We will then review Core's three financial tenets, which the Company employs to build long-term shareholder value. And Chris will follow with a detailed financial overview and additional comments regarding building shareholder value, followed by Gwen commenting on Core's first quarter 2018 outlook and a general industry outlook as it pertains to Core's prospects. Then Monty will come and give a detailed review of Core's two operating segments, detailing our progress and discussing the continued successful introduction of new Core Lab technologies, and then highlighting some of Core's operations and major projects worldwide. We will then open the lines to a Q&A session. I'll now turn it back to Gwen for remarks regarding forward-looking statements. Gwen?
Gwen Schreffler: Before we start the conference call this morning, I'll mention that some of the statements that we make during this call may include projections, estimates and other forward-looking information. This would include any discussion of the Company's business outlook. These types of forward-looking statements are subject to a number of risks and uncertainties relating to the oil and gas industry, business conditions, international market, international political climate and other factors including those discussed in our 34 Act filings that may affect our outcome. Should one or more of these risks or uncertainties materialize or should any of our assumptions prove incorrect, actual results may vary in material respects from those projected in the forward-looking statements. We undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. For a more detailed discussion of the foregoing risks and uncertainties, see Item 1A Risk Factors in our Annual Report on Form 10-K for the fiscal year ended December 31, 2017, as well as other reports and registration statements filed by us with the SEC and the ASM. Our comments include non-GAAP financial measures, reconciliation to the most directly comparable GAAP financial measures included in the press release announcing our fourth quarter results. Those non-GAAP measures can also be found on our website. With that said, I'll pass the discussion back to Dave.
David Demshur: Thanks, Gwen. First some comments on personnel moves at Core. We continue to expand and strengthen our executive management team. Gives us great pleasure to announce the promotion of Larry Bruneau to President of Core Lab. Larry, a 20-year veteran at Core has been instrumental in creating the waves of new technologies and services that Core has rolled out over the past decade plus. Larry, who many of you have met at energy conference and sponsor of our Houston facility tours will work beside Monty Davis in guiding worldwide operations. Larry and Gwen will also take more of a leading role in future energy conferences and industry interactions. It also gives us great pleasure to announce that Chris Hill will become Core's Chief Financial Officer in May 2018 succeeding Dick Bergmark. Many of you also know Chris through investor interactions and energy conferences, and he is well regarded by analysts and investors worldwide. Chris has held various global roles for Core in both finance and accounting, including a three-year stint in Amsterdam and he is a welcome addition to Core's executive team. Dick Bergmark, the architect of Core's three financial tenets will continue to serve as an Executive Vice President until his retirement at the end of 2018. Under Dick's tutelage Core has grown from $38 million management buyout to a company with a market cap now exceeding $5 billion creating shareholder value every step of the way. As has been stated on numerous occasions, Dick is the best wingman a CEO could ever be blessed with. He has made everybody on the executive management team of Core, especially, me, better at their jobs. Dick is not getting away that quick though, as you will continue to see him at energy conferences and investor gatherings throughout the rest of 2018. Core has witnessed and is encouraged by the increasing focus of its major clients regarding capital management, return on invested capital, free cash flow and return of capital back to their shareholders as opposed to just growing production and destroying capital at any cost. The oil companies adopting these metrics tend to be more technologically sophisticated operators and form the foundation of Core's worldwide client base. Core will benefit from this shift in focus from a pure production growth to employing higher technology solutions, such as EOR methods in unconventional reservoirs or employing Core's exclusive HERO PerFRAC energetic systems. These companies will drill fewer wells, but they will be better wells. The uptick in demand for these technologies is considered in the Company's continued long-term increases in already industry-leading operating margins and expanding incremental margins. Clients will pay for these technologies that boost their return on invested capital and free cash flow as opposed to commoditized service, such as wireline, seismic and pressure pumping. Core will remain a technologically driven oilfield service meritocracy that will continue to grow and expand our service and product offerings. One other trend that is beneficial to Core is the successful return to deepwater exploration and exploitation of reserves. With the recently announced Chevron Total Ballymore discovery in Mississippi Canyon, which cut 670 feet of net pay. And Shell is potentially giant discovery in Alaminos Canyon, cutting over 1,600 feet of net pay. This prospect was appropriately named the Whale prospect. Core will benefit from increased activity in the offshore and deepwater activities throughout and into 2018 and 2019. Now for a review of Core's three financial tenets, which we’ve used to build shareholder value over the 22-plus year history of being a publicly traded company. During the fourth quarter of 2017, Core generated over $41 million in free cash flow and converted 24% of every revenue dollar into free cash, the highest in all oilfield service companies. Free cash is important to Core Lab shareholders. Once again Core produced industry-leading return on invested capital for the 33rd consecutive quarter. High return on invested capital is important for Core Lab investors. Also, during the fourth quarter of 2017, Core returned over $33 million back to our shareholders via our quarterly dividend and share repurchases. Core will continue to return all excess capital back to our shareholders in future quarters via these quarterly dividends and share repurchases. As one analyst aptly put Cores’ application – continued application of our three financial tenets, wash, rinse and repeat. I will now turn it back over to Chris for a detailed financial review. Chris?
Chris Hill: Thanks, David. Before I provide the financial update, I would like to say that I feel very honored to assume the CFO role for Core Lab as Dick’s successor. It has been a privilege working with Dick and I'm grateful for the development and support from Dick, David Demshur, Monty Davis and the Company over the last 10-plus years. As Dave mentioned in my Investor Relations role, I have met or spoken with many of you participating on the call through investor conferences or visits and tours at our facility, and I look forward to continuing those relationships in the future. Now looking at the income statement. Revenue was $172 million in the fourth quarter, up almost 15% from the fourth quarter last year and up 3.4% sequentially. Both Production Enhancement and Reservoir Description contributed nicely to the improvements this quarter. For the full year, revenue was $660 million, so up about 11% over 2016. Of this revenue, service revenue, which is more international was $126 million, for the quarter up 9% year-over-year and up 7% sequentially. The growth in this quarter is primarily attributable to the continued strengthening of our well completion diagnostic services in the U.S. market. Product sales, which are more tied to North American activity were $46 million for the quarter and up 34% year-over-year. Our product sales in the U.S. grew over 60% compared to 2016 and at a faster pace than the 49% growth in 2017 for completion activity as published by the EIA. Moving on to cost of services for the quarter, our 69% of service revenue and improvement from the third quarter and in line with earlier quarters. For the full year, cost of services averaged 69%, a slight improvement over 2016 as our service operating margins continue to be some of the strongest amongst oilfield service companies. Cost of sales in the fourth quarter was 77% of revenue, in line with last quarter but an improvement from last year as our operating leverage in the absorption of our fixed cost improved with higher levels of revenue this year. G&A for the quarter was $12 million consistent with the last few quarters and came in at a little under $48 million for the full year. For 2018, we expect G&A to be around $48 million to $50 million. Depreciation and amortization for the quarter was $6.1 million, which is comparable to the last several quarters. For the full year 2017, depreciation and amortization expense was $24.9 million, so down from $26.9 million in prior year. Looking forward to next year, we would expect capital expenditures and associated depreciation expense to be similar. The guidance we gave on our last call and past calls, specifically, excluded the impact of any FX gains or losses and assumed an effective tax rate of 15% for the fourth quarter. So accordingly, our discussion today excludes any foreign exchange gain or loss for current and prior periods and is adjusted to the guided tax rate of 15%. So to conform to our guidance, EBIT ex-items for the quarter was $32.7 million, up over 50% from fourth quarter last year and up 19% sequentially, and continues to represent best-in-class EBIT margin of 19%. Full year 2017 EBIT ex-items was $114.5 million, up over 30% from 2016 and also generated industry-leading margins of over 17% for the full year. On income tax, our effective tax rate guidance for the fourth quarter was 15%, creating an income tax expense of $4.5 million for the fourth quarter. Our GAAP effective tax rate for the fourth quarter was 27%, which reflects our initial assessment of the U.S. Tax Cuts and Jobs Act and the impact as a result of revaluing our net deferred tax asset position in the U.S. to the new corporate tax rate of 21%. GAAP income tax was $18.6 million for the year at an effective tax rate of 18.3%. Based on our current analysis of U.S. tax reform, we expect the changes to be beneficial for our U.S. operations. And our effective tax rate in Q1 of 2018 is expected to be approximately 15%. Net income ex-items for the quarter was $25.6 million, up 40% from fourth quarter 2016 and up 21% from the $21.1 million last quarter. For the full year 2017, ex-items, net income was $88.5 million, up over 30% from 2016. GAAP net income was $21.7 million for the fourth quarter and $83.1 million for the year. Earnings per diluted share ex-items was $0.58 for the quarter, up 41% year-over-year and in line with our prior guidance. While EPS for the full year ex-items was $2. GAAP EPS for the fourth quarter was $0.49 and $1.88 for the full year. As we move onto the balance sheet, I'm only going to highlight the items that have materially changed from previously reported balances. Receivables stood at $133.1 million, up slightly from Q3, but in line with the growth in our revenue as our DSOs continue to be strong at 67 days for the quarter and 69 days for the full year 2017. Inventory finished the year at $33.3 million, down 3% or $3.4 million sequentially and down over 11% from its peak earlier this year. We're very pleased with our operations improvement have inventory turns throughout 2017, and we anticipate inventory turns will continue to improve into 2018. And now onto the liability side of the balance sheet, our accounts payable were $41.7 million, up $8 million sequentially, which is associated with the growth of our business. Other current liabilities of $63.3 million are up $5.1 million from last quarter due to an increase in unearned revenue and accrued employee compensation. Our long-term debt at year-end was $228 million, down from $235 million last quarter end as we used some of our excess free cash flow to reduce debt this quarter. Our debt is comprised of our senior notes at $150 million as well as $78 million under our bank revolving credit facility. Shareholders' equity ended the year at $148.7 million, down slightly from prior year-end balance of $155.3 million, primarily due to the return of capital to shareholders. Capital expenditures for the quarter were $4.5 million comparable to the prior quarter and in line with operational activities. For the full year, they were $18.8 million, up from $11.4 million in 2016. The company anticipates that its capital expenditure program will continue to expand in 2018, in line with increases in business activity, possibly reaching the $25 million level, and as we have previously stated, Core has the financial ability to increase its capital investments in support of these strengthening activities. Looking at cash flow, in the fourth quarter, cash flow from operating activities was $45.9 million, and after paying for our $4.5 million in CapEx, our free cash flow in Q4 was $41.4 million, which represents over 160% of net income ex-items. For the full year 2017, cash flow from operating activities was $124.3 million, while free cash flow after paying for our CapEx program was $105.5 million. Our free cash flow conversion ratio, which is free cash flow divided by net income continues to be one of the highest in the industry at almost 127% for 2017. We believe this is an important metric for shareholders when comparing company's financial results, particularly, for those who utilize discounted cash flow models to assess evaluation. In 2017, our free cash flow was higher than our net income as it has been in 12 of the last 16 years. I'll now turn it over to Gwen for an update on our guidance and outlook.
Gwen Schreffler: Thank you, Chris. We believe first quarter 2018 international E&P activity levels will be flat from the preceding fourth quarter levels with most ongoing international development projects to be funded largely from the operating budgets. We expect the average first quarter 2018 U.S. rig counts to be similar to the fourth quarter of 2017 levels with completion activity to continue at the current improving pace. Therefore, we do not see a change in our typical seasonal pattern of Q1 revenue in earnings being sequentially flat to slightly lower than the preceding Q4 level, as has been the case in five of the last seven years and similar to Q1 guidance recently provided by other major international oilfield service company. As a result of this typical seasonal pattern, we project first quarter 2018 revenue of approximately $168 million to $172 million and operating income of approximately $32 million to $32,700,000 yielding operating margins of approximately 19%. EPS for the first quarter 2018 is expected to be approximately $0.56 to $0.58. The first quarter midpoint guidance represents a year-over-year improvement in revenue by 8%, operating income by 33% and EPS by 36%. This initial first quarter 2018 guidance includes gains and losses in foreign exchange and assumes an effective tax rate of 15%. First quarter 2018 free cash flow is expected to exceed net income and we expect we will continue to return all excess capital to our shareholders during the quarter via dividends and continuing our share repurchases. Several consecutive years of significant international underinvestment will lead to steepening legacy declines in non-North American, non-Middle East and non-former Soviet Union crude oil production levels. So we have an optimistic view for 2018’s industry activity and the company's financial performance for the following reason. Crude oil industry fundamentals continue to improve with falling global crude oil inventories, a tightening in the number of days of consumption held in global crude oil inventories to meet demand; and the impact these fundamentals may have on increasing the price of crude oil. We are also encouraged by the increased focus major clients have regarding capital management, return on invested capital, free cash flow and returning capital back to their shareholders, as opposed to just production growth at any cost. The companies adopting these metrics tend to be the more technologically sophisticated operators and form the foundation of Core’s worldwide client base. International and offshore markets are in the early stages of recovery, which will benefit the company’s leverage to both markets, especially in the second half of 2018. Additionally, as part of the industry’s recovery, there have been positive actions taken by oil companies to reinvest in the development of new crude oil projects. The reinvestment at a global level is critical in order to meet future supply needs. The oil companies’ ability to reinvest is due to their successful efforts in increasing their EURs, along with reducing capital project cost to align with today's oil price per barrel. This is enabling client to make final investment decisions on new projects and/or revamp previously announced projects. Recent project announcements include Exxon's Liza field offshore Guyana, Shell’s Appomattox field, LLOG's Buckskin development in deepwater Gulf of Mexico and Chevron’s Tengiz field in Kazakhstan, among others. And with that guidance, we'll turn the call over to Monty for an operational review.
Monty Davis: Thanks, Gwen. Core Lab employees around the world have made great strides in 2017 to help our clients reach their goals through a new Core Lab technologies and an excellent service. We thank all of our employees for their contributions to innovative solutions, integrity and superior services. Reservoir Description continued expansion of Core Lab's Digital Rock Characterization, DRC services in Q4 with comprehensive offerings now available to clients in Kuwait and Alaska. After a successful introduction of these services was made with enthusiastic client acceptance in the U.S., South America, Asia Pacific, Canada and Abu Dhabi, the addition of this widely beneficial technology in these two new markets will boost clients’ confidence in reservoir quality assessment and completion designs. Computed tomography, CT scans generate millimeter scale image and petrophysical logs on Core intervals by calibrating CT information against vast amounts of measured Core data available in Core Lab's proprietary database of physical measurements. The CT log provides extremely detailed and accurate information on properties, such as lithology, porosity, density and rock stream, along the full 3-dimensional visualization of the Core. The relevance and benefits of Core's proprietary CT technology have been proven in both conventional and unconventional reservoirs. This quick delivery of 3-dimensional image-based Reservoir Description will help clients in the Alaska region with critical time-sensitive decisions by allowing them to quickly select representative and mechanically competent samples or advanced rock properties testing on their high-quality sandstone reservoirs. On complex reservoirs in Kuwait, this technology will help Core's clients with conventional Core analysis programs, along with digitally-based hydrocarbon volumetric estimation and flow characterization when combined with Core’s micro tomography analysis. These new service offerings also create opportunities for Core's clients to re-examine achieved cores with this high-resolution digital technology and compare observations and interpretations through production data from existing wells. In the fourth quarter, Core's Canadian operation started a long-term Core employed in-houses analysis contract for a large ILC operating along the north Atlantic margin. Core received produced fluid samples that were analyzed in its PVT laboratory to determine the phase behavior relationships of the hydrocarbons. These PVT samples and test results will assist the operator in optimizing flow regimes, allowing for maximum hydrocarbon recovery over the life of the reservoir. This work is part of a comprehensive ongoing rock and fluid analytical program that will extend into 2018. Our DRC technology in Calgary was a key deliverable for this project. The results of this work will be utilized by the client to understand lateral and vertical heterogeneities in the reservoir, build a more detailed reservoir model, predict reservoir performance over time and maximize shareholder return. In addition to this large long-term onshore project, the number of land-based Canadian PVT studies from Western Canadian sedimentary basins increased in the fourth quarter. Operators in tight unconventional volatile oil and gas condensate plays, such as the Montney and the Duvernay shale formations are showing increased demand for phase behavior and compositional analyses of these complex reservoirs. Production Enhancements clients continue to leverage Core's SpectraStim and SpectraScan technologies in conjunction with Core's regional engineering advisers to expedite improvements to cluster – perforation cluster efficiency. A common trend among – beginning to emerge among U.S. operators is identifying ways to maintain or enhance cluster efficiency while further optimizing the completion design. Optimization changes, such as the implementation of high density clusters with the reduction of stage counts can provide significant savings to operating costs, but in some formations may reduce EUR. Core Lab's diagnostic services provide our clients with guidance to optimize operating costs, while improving EURs. Recently, a Core Lab client said, “Without Core's diagnostics and engineering team providing direct measurement and guidance, we would have had to go through more several iterations to get to an optimal completions design. We likely would have had to drill and complete 10 to 20 or more wells with various designs before settling on what likely – would likely be a suboptimal design if we solely relied on production results to guide our decisions." SpectraStim’s proppant tracers and SpectraScan's spectral gamma ray imaging service together provide the only means of precisely determining how effective all clusters are stimulated. Combined with the FLOWPROFILER to quantify individual stage contribution, the need to drill and complete several wells, then wait on production analysis for results before continuing to optimize is eliminated. Core's clients are benefiting by lowering operating costs and improving EURs, both improving their overall cost per barrel and profits. Core Lab's Production Enhancement team continues to see significant growth in our perforating systems that are proving value for our clients in their pursuit of production optimization. By maximizing Stimulated Reservoir Volume, Core Lab's best-in-class HERO PerFRAC system revenues were up 30% in Q4 versus Q3, and up 10x when compared to 2016. Our equal hole size perforating technology provides the industry's most consistent hole size around the wellbore facilitating frac designs. This allows operators to optimize hydraulic pump rates for maximum proppant placement. The resulting completion increases Stimulated Reservoir Volume and our customers return on invested capital. Our HTD-BLAST technology experienced significant usage in 2017 with quarterly increases throughout 2017 as operators relied on this proven technology to complete the difficult toe stage of their horizontal wells. By using HTD-BLAST, operators confidently completed the toe stage, eliminating expensive downtime caused by failed sleeve systems. Greater wellsite efficiency provided by HTD-BLAST reduces our customers expense and increases their profitability. In the multi-billion dollar plug and abandonment market, Core's industry-leading plug and abandonment PAC perforating systems are experiencing significant global growth by providing cost-effective customer solutions for well abandonments. Plug and abandonment operating expenses can be a drain on customer cash flow if performed on a rig with expensive section milling. Throughout 2017, Core's broad offering of PAC systems for multiple combination of casing strings were utilized by operators in the Gulf of Mexico, North Sea, Australia, Africa and Thailand, to name a few. In Q4, our ballistics engineers provided a unique solution for a customer needing to perforate three production streams without penetrating the outer casing. Our PAC solution allowed our customer to provide circumferential cement plugging required by local regulations for permanent isolation of the depleted reservoir from possible exposure to the surface, while saving millions of dollars. Brandon, we'll now open the call for questions.
Operator: Thank you. We’ll now being the question-and-answer session. [Operator Instructions] Our first question comes from Sean Meakim with JPMorgan. Please go ahead.
Sean Meakim: Thanks, good morning.
David Demshur: Good morning, Sean.
Sean Meakim: And Dick, congrats on the retirement. Honestly, well-deserved.
Dick Bergmark: Thanks, Sean. It's been a great place to hang out for the last 30 years.
David Demshur: Sean, he’s not getting away that quick. He’ll be here for another whole month.
Sean Meakim: Right. Well, thanks for taking my question. Just, first from a little bit higher level thinking about your customers, it seems service costs moved higher in shale last year, that's going to happen again this year. And breakeven offshore is continuing to decline, some of the majors you’ve talked about you’ve some pretty attractive, at least may be half cycle economics on some of the projects particularly within kind of an infrastructure. Just when you think about where even long way the Brent has gone recently, just you – how do you anticipate any shift in customer behavior? We haven't seen much in the way of incremental additions to CapEx budgets for the majors, but perhaps changing the ranking of their capital budgets given similar shifts and relative cost in shale versus offshore?
David Demshur: Yes, like the comments that we've made, Sean, we believe that our client base, which is more technologically sophisticated are planning to drill fewer wells, but better wells. And we found the uptakes on the new technology that we've been offering, HERO PerFRAC is the good example of that. It is the most rapid uptake in the new technology that the company has offered over the last decade or so. We think that will continue. So their wells actually will become more expensive. But the uptake on the amount of production and reserve base will far outweigh what the incremental costs are to employ some of this new technology. With respect to offshore, you are correct. The cost curve continues to go down and they continue to drill better and more high-profile wells, a great example of that is the Shell discovery in Alaminos Canyon, the Whale prospect, cutting over 1,600 feet of net pay. So we think that positions Core well from a introduction of new technology front that will be utilized by people that are more – that are going to pay more attention to returns, free cash flow and returning some of that back as well as the operators looking for a balanced portfolio and going back and looking at some of the offshore and offshore deepwater plays. So we like that balance and how it's going to work out going into 2018 and then into 2019.
Sean Meakim: Thank you for that. And then thinking about how the rest of year going forward taking into consideration your guidance, the seasonality, I think, is well appreciated for the first quarter, but then looking up to the rest of the year, I think, that when we were spending time together in the fall, we talked about $50 to $55 oil would be enough to see FIDs continue to improve year-over-year with current spot rates – spot prices well above that. How that – how do you think about the flex to the upside as we move through the year with respect to FIDs, and ultimately, how that will start to eventually redeploy into your P&L?
Gwen Schreffler: Hi, Sean. We had 20 FIDs in 2017. And recently, a report that came out from Wood Mackenzie is projecting another 25 in 2018. So we're very hopeful about the progress and investments in these types of developments offshore and deepwater. And the long-term potential impact that that will have in the second half of 2018 to our financials.
Sean Meakim: Okay, fair enough. Well, thanks, and again, congrats, Dick.
Dick Bergmark: Thank you, Sean.
Operator: Our next question comes from Byron Pope with Tudor, Pickering, Holt. Please go ahead.
Byron Pope: Good morning.
David Demshur: Good morning, Byron.
Byron Pope: Just have one question that relates to Production Enhancement, and I’ll preface it by saying that, I think there’s some truth to saying that amortization is the most sincere form of flattery because it seems like there have been a couple of M&A transactions with folks trying to get into the tracers and perforating systems businesses and where you guys are established market leaders. But as I think about the 50% top line growth of Production Enhancement did in 2017, would it be fair to think that Owen and ProTechnics drove that growth? And then how should we think about the cadence of top line growth for that business in 2018 or you still got some decidedly strong tailwinds behind you?
David Demshur: Yes, Byron, good question on that. We continue to expand our product lines both in tracer process technology, where we are actually evaluating some new technology right now, that we think it can have a significant impact throughout 2018, more on that in upcoming conference calls. And then the continued expansion of the acceptance of the new perforating or energetic systems that being led by the HERO PerFRAC, we think we've got additional gains to make there from a technological standpoint. So we still like the strong gain in revenue potential there, expanding incrementals and growing margins. I'd like to say thanks for the use of the wash, rinse and repeat. I thought that was a very clever line that you'll note this morning.
Byron Pope: It’s well deserved. Thanks guys.
David Demshur: Okay, Byron.
Operator: Our next question comes from Chase Mulvehill with Wolfe Research. Please go ahead.
Chase Mulvehill: Dick, you'll be missed. I know you have the rest of the year, you will be there, but definitely you'll be missed. And congrats Chris and Larry on the promotions.
Chris Hill: Thank you.
Dick Bergmark: Thanks, Chase.
Chase Mulvehill: All right. I guess, first, I want to hit on own Reservoir Description margins. It became a little bit light in the fourth quarter. So I guess, maybe talk to if there’s kind of any one-offs in the fourth quarter that impacted? And then maybe talk about the past quarter for Reservoir Description margins in 1Q. I know you typically have some seasonality there, and then once we get through 1Q 2018 with potentially FIDs growing throughout 2018.
Gwen Schreffler: So, Chase, with regard to the fourth quarter and the 17% margin, that really has to do with timing and completion of projects, so primarily about service mix. And then related to our Q1 guidance, the assumptions in the Q1 guidance are related to weather in parts of Europe. And then the oil companies finalizing their capital spending budgets for the year. So that typically finishes in Q1 and then they go about spending those budgets in the rest of the year.
David Demshur: And if you look at the way that internally we're looking at Reservoir Description, we believe, that we do indeed exit 2018 with two in front of their margins, owing to revenue sources from FIDs and additional deepwater projects, that are really kind of do some of those margins.
Chase Mulvehill: Okay. Thanks, Dave, that’s very helpful. If we kind of go to the top line for Reservoir Description and we think about kind of 2018, overall, I don't know if you have enough visibility yet to may be frame, kind of how we should be thinking about top line growth for Reservoir Description for 2018?
David Demshur: Yes, the crystal ball still little cloudy, but right now applying our 200 to 400 basis points on our performance, it probably gets you into the mid to higher single digits, that the way we're looking at that right now.
Chase Mulvehill: Okay. And that’s the Reservoir Description, correct?
David Demshur: Correct.
Chase Mulvehill: Okay, awesome. I’ll turn it back over. Thanks, Dave. Thanks, Gwen.
David Demshur: Thanks Chase.
Operator: Our next question comes from Stephen Gengaro with Loop Capital Markets. Please go ahead.
Stephen Gengaro: Thanks, good morning.
David Demshur: Good morning, Stephen.
Stephen Gengaro: So, two things, I’ll just start with, if you look at the guidance that you gave for 1Q, if my math is right, it suggests about 65% companywide incrementals on a year-over-year basis. Is that a level you think is sustainable throughout 2018?
David Demshur: Correct. You just look back Stephen, as we talked about. If you look at company performance in 2010, 2011, or 2012 and 2013, just look at the history of those incrementals and you'll see that incrementals of the six in front of it, last well into the recovery. And from a U.S. standpoint, yes, okay, we're well under the recovery. International, probably not just yet. Outside the Middle East, we're not seeing a lot of project gains in Q1, some in Q2, but really getting a much higher level of input from those projects in 2H 2018.
Stephen Gengaro: Okay, thank you. And then as we think about the Production Enhancement business going forward, any sort of think about, and someone mentioned earlier, some of the competitors out there. Is there anything in the competitive landscape that alters your revenue growth assumptions for that business going forward?
David Demshur: Not it is certainly a technology race. And certainly, our engineers on the ballistic side are the most skilled in the industry, which gives us great comfort, that will be putting out new technologies later this year, adding to their HERO PerFRAC. And the same thing, when you look at our diagnostics business, you guys invented and have advanced that business. They are the best in the business. And they're looking at some very clever uses of that technology and different forms of that technologies right now. So no reason why we should have any impairment for the continued growth of Production Enhancement.
Stephen Gengaro: Great thank you.
David Demshur: Okay, Stephen.
Operator: Our next question comes from Marc Bianchi with Cowen. Please go ahead.
Marc Bianchi: Thank you. I guess, first on the succession planning. And first, Dick, and Dave congrats on everything you have accomplished, the story has been truly remarkable to watch over the years.
Dick Bergmark: Thanks, Marc.
Marc Bianchi: Yes, sure thing. Dave, what’s your timeline here, with this change here with this change here you're taking step in that direction. Is the thought maybe get to 100 quarterly reports and that's the time or just maybe set some expectations for us, if you could?
David Demshur: I would say, several more years, that would not be a bad goal to do 100 quarterly reports. So the way I would answer that Marc is you guys are going to have to put up with me for several more years.
Marc Bianchi: Looking forward to it. I guess then, if we think about the Reservoir Description commentary that you just offered in terms of the high single-digit growth. If I think of the offshore component of that business and all these FIDs opportunities, is it really everything else in the business stays flat and the increment the growth is coming from those FIDs, is that a fair way to think about or there is some other considerations we should have?
David Demshur: No that’s the way I would think about it, because the incremental is going to come from that. May be outside of the Middle East, because we are seeing a lot of interest in the middle east for them to be able to maintain or expand production. So outside the Middle East, the incrementals will come from the FIDs that Gwen has talked about and those that are in the queue that are going to be announced early in 2018.
Marc Bianchi: Sure, great. Well, thanks, I’ll turn it back.
David Demshur: Okay Marc.
Operator: Our next question comes from Scott Gruber with Citigroup. Please go ahead.
Scott Gruber: Yes, good morning.
David Demshur: Good morning, Scott.
Scott Gruber: First Dick, it has been a pleasure working with you and I’m sure I’ll see you at some point but all the best in the future. And Larry and Chris again congrats on the promos.
Dick Bergmark: Thank you.
Chris Hill: Thank you.
Scott Gruber: Dave, I want to turn back to the impact of the majors sanctioning projects here, that is more bigger and some impressive recent offshore finds. We've discussed in the past, I think, it would be helpful if you touch on, again, the opportunity for Core with regard to the majors scaling back some of their capabilities within Core and fluid analysis during the downturn and how that impacts the growth potential in the Reservoir Description?
David Demshur: Yes, interesting question Scott. I like that you’ve gone there. We have had less competition over the last several years because we have found that the downsizing of the facilities with our major competitors, those being the major oil companies. We've actually had Kanako drop their technical support center. So we've hired personnel from there, and so that is one less competitor that is out there. We think more of their business accretes to us across the board. And with the downsizing of other facilities, we think the outsourcing only gets better.
Scott Gruber: In there partially underlies your confidence to continue to grow couple 100 basis points above the market growth rate?
David Demshur: Yes, correct. And than the addition of new services as well, hold that on top and you get a couple of 400 basis points of additional growth.
Scott Gruber: Got it. And maybe if you could, is there an update on the EOR field test within shale and whether you're seeing good containment of the cycled gas within the reservoirs you're testing?
David Demshur: We do have Larry Bruneau that happens to be in the room. And he is our architect of the EOR in unconventionals and he can give you an update. We have not gone to a field test of yet, but he can give you an update on what we're seeing in the behavior of these in the laboratory. Larry?
Larry Bruneau: Yeah, thanks Dave. And Scott we’ve continued as we have for the last number of quarters. To engage many of our clients in laboratory testing of the rocks and fluids in question in these unconventional reservoirs. And so over the course of doing these types of tests, we've start out with an understanding that we'll see these reservoirs produce, on average, 8%, 9%, 10% of the oil in place. And in laboratory, we've been able to demonstrate through a understanding of the fluids and the behavior in the rocks, that we can get that into the middle teens. So, there is a nice incremental uplift on what they can accomplish in the laboratory. Now they will take that to the field and applications and some are in the early stages of doing that. They'll apply what we've identified in the laboratory as the optimum recipe of gases and they'll go through an injection process and see if they can get the returns in the field.
David Demshur: But you are right Scott, you make a good point on the containment of these absorbing gases is going to be critical to the success of the field test.
Scott Gruber: Gotcha, and just to be clear are there field studies on the calendar for 2018.
David Demshur: Yes we expect our clients to be expanding their activities and applying these in the field during 2018.
Scott Gruber: Got it thank you.
Operator: Our next question comes from Igor Levi with Morgan Stanley. Please go ahead.
Igor Levi: Good mornings guys.
David Demshur: Good morning Igor.
Igor Levi: So, historically you have talked about this 20% market share number for Core analysis. And now with FIDs coming back, you just mentioned that some of your competitors are downsizing facilities, I mean, has that figure increased to the mid-20s or 30% range or what’s the expectation?
David Demshur: I would say Igor, probably mid-20’s. All in, all we have been fortunate to get to gain some big projects that are normally run in house. The Exxon Liza is a great example of that. Deepwater discoveries off of Guyana. In looking at the other competitors downsizing, yes, we would say that from the IOCs, which are our major competitors, were probably somewhere – probably in the low 20s from market share because they still do lot of their work in-house.
Igor Levi: Great, that’s very helpful. And last time, we spoke, I remember, you're making proposals for joint industry project in the Wolfcamp, has there been any traction there?
David Demshur: Yes, we've got in front of our clients. We've got some verbal commitments on that and you will be hearing more about that in the coming quarters.
Igor Levi: Great, thank you for that. I’ll turn it back.
David Demshur: Thanks Igor.
Operator: Our next question comes from Kurt Hallead with RBC. Please go ahead.
Kurt Hallead: Hey, good morning.
David Demshur: Good morning, Kurt.
Kurt Hallead: I want to echo everybody else's comments on all the changes here internally and congrats again on yet a very consistent performance. So well done, well done to the team.
David Demshur: Thanks Kurt.
Dick Bergmark: Thanks Kurt.
Kurt Hallead: You’re welcome. You’re welcome. So Dick, I want to get just a little color, and if I missed it a little bit earlier, I will apologize and bring up something on the call here. But with respect to the outlook on the rig count progression into the first quarter, the rig count already is running at the level that is in excess of the fourth quarter, which would effectively infer on the comments you guys provided that there's an expectation that the rig count is going to go lower from this point through the end of March. So I was hoping to just get a little bit more feel for how you guys are looking at rig related activity here in the U.S.?
Dick Bergmark: Kurt, we were looking at averages rather than endpoint dates at the end of each quarter. So yes, I agree with you. It certainly has picked up. We do agree with you that has picked up in 2018. So our thought is given the average of fourth quarter, what we're seeing so far flat, maybe up a little bit.
Kurt Hallead: Okay great. And then the follow-up commentary, obviously, your production enhancement business is driven more directly by frac and stage counts and completion activity, you guys provided some general comments on completion activity continuing at pace. Could you kind of benchmark that for us in terms of percentages? And what you think completion activity could be up based on your perspective in the first quarter?
David Demshur: And we're thinking completion activity will be up higher in 2018 owing to some of these ducts are going to be drawn down. We've talked to a number of operators and they plan on their drilling program, but they want to take out their backlogs from their ducts. So we're going to have some tailwinds due to increased duct completions. Right now, we've got about 7,300 out there. So we'll look for that duct population to also drop. So net-net higher completion levels, more stages, closer clusters, all that's good for us.
Kurt Hallead: Any – you want to tease us with a percentage change do you think on year-on-year?
David Demshur: Gwen?
Gwen Schreffler: For completions?
Kurt Hallead: Yes, please yes?
Gwen Schreffler: Well, completions were up 49% year-over-year 2017. So maybe it is slightly higher than that.
Kurt Hallead: More equipment is available?
David Demshur: Yes, there will be more frac spreads out, so hard to pinpoint that Kurt, but probably some upside there.
Kurt Hallead: Okay, that’s fantastic. That’s great color. Thanks a lot. Appreciate it.
David Demshur: And Brandon, we’ll take one additional question.
Operator: All right, thank you very much. Our last question comes from Gregory Lewis with Credit Suisse. Please go ahead.
Gregory Lewis: Hey, everybody. Thanks for squeezing me in. Chris and Larry, congratulations and hey, Dick sad for you going man, but good luck and have fun.
Dick Bergmark: Thanks.
Gregory Lewis: I guess, on the production enhancement, is this mix specifically on products, I guess, I have two questions. One is, we've seen a shift, it looks like to customers willing to pay up for better products over the last couple quarters. Will that still be a tailwind as we think about tailwind margins, as we think about 2018 or if customers kind of already accepted the new technologies and were kind of on a steady run rate from here?
David Demshur: No, I still kind of rule them out. I would say that our market penetration is not satisfactory. Now our technologically sophisticated clients, they go forth right away. We've got the other clients that are more middle of the road, that once they see these proved statements coming out of their technologically sophisticated company. They usually join that march to using higher technology as well. So I still think we got some push on incrementals coming from just further uptake on technologies like HERO PerFRAC.
Gregory Lewis: Okay. And then just sticking on this real quick, it seems like over the last couple months, I mean as quickly the stuff was being produced, that was flying off the shelves. Has there been any catch-up in terms of from what you're seeing from, at least, on the Core Lab side in those products or is it still something where with the kind of the markets overall, short on plug and perf solutions and we could still see some shortage which may be could drive some pricing?
Monty Davis: Greg, this is Monty. We are well into a process I'll call it, because it's an ongoing process to increase production in the perforating arena. We have several initiatives underway there, and we do expect to increase our ability to supply that market.
Gregory Lewis: Okay, okay.
David Demshur: It's going to be more apparent in the second half, but it's going to be significant.
Gregory Lewis: Sounds good, everybody. Hey, thank you very much for squeezing me in at the end. Have a great day.
Monty Davis: Okay, Greg.
David Demshur: So in summary, Core's operations continue to position the company for activity levels in the first quarter of 2018. And we know challenges await, however, we have never been better operationally or technologically positioned to help our clients to maintain and expand their existing production base. We remain uniquely focused and are the most technologically advanced reservoir optimization company in the oilfield services sector. This positions Core well for the challenges ahead. The company remains committed to industry-leading levels of free cash generation and returns on invested capital with its capital being returned to our shareholders via dividends and future opportunistic share repurchases. So in closing, our 90 quarterly earnings release, we wish to thank all of our shareholders, the analysts that follow Core, and especially, as already mentioned by Monty Davis, our worldwide employees that have made these results possible. We are proud to be associated with their continuing achievements. So thanks for spending time with us this morning. And we look back – we look forward to our next update. Goodbye for now.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.